Operator: Good day, ladies and gentlemen and welcome to the Fourth Quarter 2014 Vermillion Earnings Conference Call. My name is Derrick and I will be your coordinator for the call today. With me today are Valerie Palmieri, President and Chief Executive Officer of Vermillion; Eric Schoen, the company’s Vice President of Finance and Chief Accounting Officer; and Dr. Donald Munroe, Senior Vice President and Chief Scientific Officer. This morning, they will recap the 2014 performance, discuss 2015 priorities, provide an update on their new Quest commercial agreement, review their FDA submission of OVA2, and issue Q1 2015 guidance. Before we get started, I would like to point out that there will be a replay of this conference available via telephone and Internet. Please refer to today’s press release for replay information. Some of the commentary and answers to today’s questions may contain forward-looking statements. You are cautioned not to place undue reliance on forward-looking statements. Vermillion is providing its information as of the date of this conference call and does not undertake any obligation to update any forward-looking statements contained on this call as a result of new information, future events or otherwise. Forward-looking statements reflects management’s current estimates, projections, expectations or beliefs and involve risks and uncertainties that could cause actual results and outcomes to materially differ. Risks and uncertainties that may affect the future results of the company include, but are not limited to the competitive environments, the speed of market adoption, changes in government regulations, payer reimbursement, relationships with our strategic partners and other factors described in the Vermillion 2013 Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Following the Vermillion team’s remarks, we will open up the call for your questions. Now, I would like to turn the call over to Ms. Palmieri.
Valerie Palmieri: Thank you, Derrick. Good morning, everyone and thank you for joining us. I would like to start the call by saying it has been an exciting first few months and we will be discussing a number of foundational milestones which have been completed as well as those which are on the docket to complete this year. First, I would like to start with a review of our new mission and vision. Vermillion’s new mission has expanded from ovarian cancer to driving care path lead solutions for all benign and malignant pelvic mass conditions. The estimated size of this market is 1 million patients in the U.S. Our primary mission is to improve patient outcomes, increase physician effectiveness and thus reduce the cost of healthcare via [proprietary] technology and informatics. Our initial focus starts with ovarian cancer, the cancer with the highest mortality rate of all gynecologic cancers. Our goal is to provide diagnostic solutions with our patented technologies to determine the risk of malignancy and thereby ensure patients receive optimal treatment in the shortest amount of time. Two patients die every hour from ovarian cancer. Currently, the diagnosis for these patients frequently comes too late to change the outcome. We have the ability to change this. Moving on to our overall vision, our vision is to be the global leader in personalized medical management of gynecologic health. To improve clinical outcomes for physicians, payers and most of other patients, we do not believe there is one silver bullet that solves the healthcare paradigms. It is the compilation of clinical data, other modalities and diagnostics to drive optimal care. And this healthcare paradigm of needing to work smarter, our bio-analytic products drive smart medicine. Our mission and vision may be of tall order. So, we have demonstrated we can do it. We have made core investments in our team, analytics, processes and partnerships and have the know-how to do this and do it well. As mentioned on the prior earnings call, our strategic plan includes three phases: number one, a rebuild phase, in late 2014 early 2015; number two, a transformation phase through 2015; and number three, a market expansion in growth phase through 2016. I am now going to address our rebuild phase. This phase includes retooling of the management team and laying the foundation for the deployment of our new strategy. The rebuild phase is nearly complete and includes five major milestones. First and foremost is our new commercial relationship with Quest. Second is our team. We made conscious decisions to bolster our sales and customer experience leadership and operations leadership. Third is the conversion of our sales team from the contract sales force to an employee sales force. Fourth is implementing a new sales process called the challenger model, it is a physician practice integration model focused on driving clinical solutions. And fifth is the implementation of the sales care pathway plan to drive commercialization. I will review each of these items in detail. Regarding our new Quest agreement as of March 11, we have reached a settlement agreement for all claims related to our prior strategic and loan agreements. We are moving forward with a new Quest commercial agreement. In this agreement Vermillion’s wholly-owned subsidiary ASPiRA Labs will begin to offer OVA1 testing to Quest customers. Quest expects to transfer all OVA1 service to ASPiRA starting with 39 states this year, while continuing the blood draw and logistics support to transport specimens from its clients to ASPiRA Labs for testing. Quest will also continue to offer OVA1 services through its own OVA1 performing labs in the remaining 11 states until ASPiRA has the required state approvals to provide those services. Quest will receive a fee for collection and logistics support to services provided. This commercial agreement will allow us to deliver additional proprietary technology to the Quest client base based on a mutual agreement as well, truly a partnership to continue to offer our OVA1 to Quest clients as well as expand offering on a mutually agreed basis. Moving on to the second milestone, this milestone includes the additions to our senior management team which include experts in diagnostic service industries including Laura Miller, serving as Senior Vice President of Sales and Customer Experience and Patrick Carpenter, GM of ASPiRA, both who have served in leadership roles in top companies such LabCorp and DIANON. Our next milestone includes the complete retooling of our sales capabilities. In 2014 we hired a contract sales force, in late Q4 2014 we strategically decided to initiate an employee sales force. The new sales force was hired and our training was completed in Q1 2015. This sales force has been hired to specifically focus on the OB/GYN, GYN oncologist plus regional hospital systems and networks. The sales team’s role include market development specialist, strategic account managers and customer account managers coupled with medical science liaisons who support all three roles in terms of physician education. We are placing the sales team in specific regions based on the states we are licensed, the incident rate of pelvic mass procedures and key opinion leader influence. With this investment in strategy and talent, we would expect to increase OVA1 utilization, positive medical policy coverage and establish payer strategies with national and regional payers. Moving on to our next milestone, this includes a significant investment in the how of the sales process. In terms of the design and the development of our marketing collateral we have rebuilt all materials based on a well known challenger sales model. The challenger model has been shown to provide unique insights for customers and as ideal for a specific solutions driven approach to complex healthcare pathways. The last milestone of Phase 1 is the change in the core battle plan to drive sales ramp and penetration via a care pathway process. Our prior plan was built on commercialization form a single call point that is the OB/GYN. We are now building a plan to a call point that now touches each part of the patient’s care pathway. This new plan directly markets to GYN oncologist, better known as the gynecologic disease expert ACOs and OB/GYNs. This approach utilizes high touch and low touch solutions. Each role in the sales team has a specific call point to manage relationships and education on OVA1. These roles include the strategic account manger, who will focus on hospital systems and networks with coverage of KOLs, payers plus integration of local guidelines within an institution, the market development specialist who educates GYN oncologist and the respective referral base of OB/GYNs, KOLs and payers. The customer account manger who will cover the country with low touch marketing campaigns. And last but not least the medical science liaisons who support our medical and sales team on KOL and speaker development, scientific messaging plus physician education. This multi-channel approach will drive volume in the GYN oncologist referral base, increased exposure of payers as well as assist in the creation of guidelines within large networks and systems. This approach used in conjunction with the challenger model has been shown to be effective with recent examples, including most notably Myriad Genetics. We are now moving on to our second phase, which is the transformation phase and has been initiated in 2015. This phase includes five milestones as well and we are transitioning from solely being a technology license company to a high-performing diagnostic service company. The five milestones are number one, the submission and clearance of OVA2. Donald Munroe, our Chief Scientific Officer, will elaborate on this in detail later in the call. Number two, laying the foundation of health economics, with the publishing of the OVA2 data and health economic studies as well as initiating regional impact studies. Number three, working with key professional societies to initiate or update practice guidelines. Number four, initiating of an unparalleled public mass registry and number five, the bolstering of our U.S. and international infrastructure. In terms of the first milestone, the submission and clearance of our OVA1 – OVA2 product, I am happy to report that we have submitted a 510(k) for OVA2 on March 6, 2015. We anticipate feedback in the next 90 days towards the goal of clearance in late Q3. Donald will review this process and next steps in greater detail in a few minutes. The second milestone for 2015 will be the publication of health economic studies, initiating our regional impact studies and publication of our OVA2 data by Q4 2015. In fact, we will soon issue a press release on the publication of OVA1 cost effectiveness abstract, which will be presented as a poster at the American College of Medical Quality, or ACMQ Annual Conference, which will be held this Friday, March 27. We are excited about this first health economic analysis of the OVA500 intended use trial data, which predicts OVA1 benefits and patient outcomes. Due to publication embargo rules, we cannot disclose the details at this point, but we invite you to watch for the forthcoming press release with study details. In this vein, we have also made significant progress in our endeavor to conduct regional impact studies to support coverage and reimbursement of OVA1 with targeted payers in our key markets. The regional impact studies are designed to leverage the approximately 17,000 OVA1 samples processed yearly from our key customers, which demonstrate clinical utility of OVA1 using actual data from our providers. We believe these studies will significantly bolster our position with health plans and garner acceptable reimbursement. Two studies will be initiated in the second half of the year. Our third milestone is the guideline plan. As you know, guidelines can take many years to achieve. With the introduction of OVA2, we seek an updated position from SGO and to establish guidelines within ACOG. Additionally, we will submit an updated package to NCCN. Our fourth milestone is the initiation of an unparalleled public mass registry beginning patient enrollment by the end of 2015. Initial funding and plans are in place. What makes this registry unique is that it will follow the care pathway of women from the time of first presentation through diagnosis, treatment and early outcomes. And rather than just focusing on ovarian cancer alone, the registry will deliver hard assets and insights into other benign and malignant diseases that present similarly and require differential diagnosis in early interventions. These examples include endometriosis, polycystic ovarian syndromes and other gynecologic disease states. This study will shed light on the care pathway dilemmas of a very large potential market of 20 million patients. 20% of all women in the U.S. aged 20 to 7 years old have endometriosis polycystic ovarian disease or other gynecologic conditions today. In addition, this study will be designed with input not only from nationally renowned physicians, but also from patient advocacy groups, health economists and community practitioners. So, we will have the input from the entire care pathways, so we can drive solutions which impact the patient, physician and the payer, a common theme with our overall strategy. The last milestone for 2015 includes the building of our informatics infrastructure, full lab licensure – full lab licensure and infrastructure to access the international market. Our goal is to build an informatics infrastructure, which will serve all three customers, physicians, payers and most of other patients. Patients, especially women, drive healthcare in the U.S. and we intend to deliver systems to ensure an optimized customer experience. Regarding our licensure, we intend to obtain full national licensure by the second half of 2015. So, we will be able to accept specimens from all 50 states. In terms of our international foundation, Vermillion updated its quality system to satisfy the EU Medical Device Directive, the Canadian Medical Device Regulations, and ISO 13485. We received ISO 13485 certification on February 6, 2015. In addition, Vermillion registered OVA1 in EU on March 6, 2015. Both of these elements are critical to our core international plan, which will begin to show fruit in 2016. I would like to turn to Eric Schoen, our VP of Finance for a rundown of our Q4 and fiscal 2014 financials. Eric?
Eric Schoen: Thanks, Valerie. Today, we filed our fourth quarter and full year 2014 financial results in a press release, which is available for download via the Investors section of our website at www.vermillion.com. Our Form 10-K will be filed with the Securities and Exchange Commission before the end of March. Total revenue for the full year 2014 was consistent with the prior year at approximately $2.5 million. Total revenue in 2014 included $2.1 million from product sales of OVA1 and $454,000 of license revenue. Product sales of OVA1 in 2014 included $825,000 from approximately 16,839 tests performed and included $1.2 million in the fourth quarter for the variable royalty reported by Quest Diagnostics for 2014. By comparison, 2013 included revenue for 17,004 tests performed, again flat year-over-year. Total revenue in the fourth quarter of 2014 was $1.6 million, consistent with the same year ago quarter. The OVA1 product revenue in both quarters includes an additional royalty component of revenue from Quest. With the new Quest commercial agreement executed on March 11, we will no longer be receiving an annual royalty report. Rather, we will recognize all revenues for OVA1 tests run through Quest Diagnostics at a contractually agreed upon rate per test in the period in which the tests are performed and during the transition period until all tests are performed in ASPiRA Labs. Fourth quarter 2014 product revenue derived from 4,474 OVA1 tests performed representing a 6% increase compared to 4,218 OVA1 tests in the year ago quarter. This volume includes tests performed at ASPiRA Labs in 2014. Volume in the fourth quarter included 257 OVA1 tests performed by ASPiRA Labs compared to 152 OVA1 tests performed in the third quarter of 2014. This represents a 69% increase in test volume quarter-over-quarter. We expect OVA1 test volumes at ASPiRA Labs to increase significantly in the second quarter of 2015 as we transitioned existing Quest Diagnostics customers to ASPiRA as well as generate growth organically to our sales force. For ASPiRA Labs, we have not yet established sufficient payment history with insurance companies or private payers for the tests performed and are thus recognizing revenue on a cash basis. There will also be a lag period between performing a test and ultimate cash collections due to the denial and appeal process. Once we establish a reliable payment history, we plan to return to a normal accrual revenue recognition methodology. With regard to the first quarter of 2015 volume guidance and similar to the first quarter of 2014, we expect winter weather-related seasonality to adversely impact test volumes compared to the fourth quarter of 2014. Cost of revenue for the three months ended December 31, 2014 and full year 2014 totaled $500,000 and $1.2 million respectively. This level of expense was due to the investment in ASPiRA Labs, which opened in June 2014. There was no comparable expense in the prior year quarter or full year 2013. Operating expenses for the three months ended December 31, 2014 and the full year 2014 were approximately $5.2 million and $20.5 million respectively. Operating expenses included approximately $0.3 million of non-cash stock-based compensation expense in the fourth quarter and $1.2 million for the full year 2014. This compares with operating expenses of $3.3 million and $11.3 million for the same three months and full year periods in 2013. Operating expenses in the prior year included $0.6 million and $0.9 million of non-cash stock-based compensation expense in the same three months and full year 2013 periods. The year-over-year increases are due to our continued investment in our sales force as well as research and development efforts to complete development and validation of our OVA2 test. 2014 expense also includes the pre-opening costs to build out ASPiRA Labs. Net loss for the fourth quarter was $4.1 million or $0.11 per share on weighted average shares outstanding of 36.7 million. Total net loss for the year ended December 31, 2014 was approximately $19.2 million or $0.53 per share based on weighted average shares outstanding of 36.1 million. Our total shares outstanding at December 31, 2014 were 43.1 million. Cash and cash equivalents at December 31, 2014 were $23 million, including the $10.5 million gross proceeds from our private placement of common stock and warrants in December 2014. The company utilized $4.3 million in cash in the fourth quarter of 2014 and expects between $4.6 million and $4.9 million in cash outlay for operations during the first quarter of 2015. In addition, we made the final repayment of debt to Quest Diagnostics totaling $1.1 million in the first quarter. We now have no debt on our balance sheet. Now, I will turn it back to Valerie.
Valerie Palmieri: Thanks, Derrick. Let’s now turn our attention to our OVA2 development progress and let’s discuss some of the achievements in the quarter. I am going to turn over to Donald Munroe, our Chief Scientific Officer. Donald?
Donald Munroe: Thanks, Valerie. Last quarter, we updated you on the progress we made in our second generation product, OVA2, completing the development and verification phases of product development. The redesign included swapping out two of the five OVA1 biomarkers and migrating the assay from outdated legacy instruments to the Roche Cobas 6000, a state-of-the-art integrated clinical chemistry platform with thousands of placements worldwide. In fact, a total of 10,000 Cobas 6000 systems have been placed worldwide more than any other comparable platform. Today, we are pleased to announce the completion of the double-blinded validation of OVA2 with the help of three external clinical sites. The results will be presented at conferences and submitted for publication in peer-reviewed specialty journals. Therefore, I can’t reveal details at this time, except that we and our medical advisors are very excited about the significant improvement in specificity and positive predictive value that was achieved. We look forward to sharing data as they are published in the second half of the year. Although Vermillion has filed the OVA2 510(k) with the FDA on March 6, 2015, the clearance process can never be taken for granted, but we feel our package and data are exceptional. So, we are still on track for product launch in Q3 2015 as we have previously projected. I will turn it back to Valerie now.
Valerie Palmieri: Thanks, Donald. As we complete the transformation phase of 2015, we have set our sights on our third phase, which is market expansion and growth in 2016. By this time, we expect to have met all the following prerequisites: number one, full national licensure of ASPiRA; number two, a track record for value-based pricing and payer acceptance; number three, fully exercised regional commercialization strategies with OVA2, and number four, initiation of our sample and patient registry, so we can mine for new disease care pathway patterns to feed and expand our product pipeline. Keep in mind we will be launching OVA2 with an already existing customer base coupled with state-of-the-art instrumentation, which will be deployed worldwide as well. In addition, our growth phase will be kicked off with a 25 plus strong sales force, a strong medical science liaison team and a potential market of over 1 million patients. This concludes our question-and-answer session. I would now like to turn the call back over – I am sorry, okay, in addition our timing is right, women’s health and ovarian cancer has taken on a different perspective in the marketplace. First, the mortality rate has not changed in 30 years. With the intention of our ovarian Dream Team in 2014 – September 2014 from Stand Up to Cancer, ovarian cancer is now at the forefront of national attention. Our technology has the potential to change the outcomes of ovarian cancer, not only in the U.S. but worldwide and in turn will make significant impact on overall gynecologic health. This concludes our presentation and we are ready to take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Debjit Chattopadhyay with ROTH Capital Partners.
Debjit Chattopadhyay: Hey, good morning Valerie and team congrats on the progress here. Just a couple of question first on the potential European launch for OVA1, so are we presuming this launch for OVA1 is still on the older platform?
Valerie Palmieri: That is correct. Yes.
Debjit Chattopadhyay: And do you have plans to migrate OVA1 to the Cobas 6000 or would you just launch OVA2 once it gets approved in U.S.?
Valerie Palmieri: So let me step back on this. OVA1 has – is on two platforms today. We can launch OVA1 ex-U.S. immediately. OVA2 will be on this new Roche Cobas platform, which will – our goal is to have clearance by Q3, so we can start with OVA1 and then move to OVA2. But OVA2 will be replacing OVA1.
Debjit Chattopadhyay: Now, could you walk us through the process of registering OVA2 ex-U.S., do you have to go through a separate CE Mark?
Valerie Palmieri: No. We do not need to go through separate CE Mark.
Debjit Chattopadhyay: So why would you then launch OVA1 right now I mean you are not planning to launch OVA1 anyway between now and end of the year, right, so….?
Valerie Palmieri: We have the capability, there is interest but we have capability to do it. We – could we wait till OVA2, yes we could, but we can also – we have interest right now on OVA1.
Debjit Chattopadhyay: And in terms of any potential showstoppers for the FDA, I mean how have your conversations been with the agency regarding the approval of OVA2?
Valerie Palmieri: The conversations had been very positive. We had a pre-submission conversation late last year and overall it’s been very positive. And as you know this is a 510(k) we are going for substantial equivalence.
Debjit Chattopadhyay: And one last question on private reimbursement during the rest of the year, I mean do you have set milestones and targets for this year?
Valerie Palmieri: Yes. So our milestones we are going to start – we are basically measuring this year with volume by – we would like to achieve one national payer and several regional payers by the end of the year, that is our goal.
Debjit Chattopadhyay: And – well a question regarding the gap-fill status right now, could you walk us through what you would need to demonstrate this year so you would get I mean you will move away from the gap-fill status in 2016?
Eric Schoen: Sure. With regards to gap-fill, we have coverage to Novitas. We will be getting our price from them as we submit claims. We are very cognizant of the gap-fill process and protecting our price. We expect that CMS will be looking at those data points during the year and we are hopeful that they will set a price for us in early 2016. But in similar to 2015, CMS has been slowed to price MAAA and other molecular codes, so there are no guarantees. But we do already have coverage from Novitas.
Debjit Chattopadhyay: Well, thank you so much and good luck.
Valerie Palmieri: Thank you, Debjit.
Operator: [Operator Instructions] We will move on to our next question from George [indiscernible].
Unidentified Analyst: Yes, good morning guys and congratulations.
Valerie Palmieri: Good morning George.
Unidentified Analyst: Congratulations on the progress. Can you just talk to guidelines, in your opening remarks Valerie you mentioned an SGO update you are working of OVA2 and also ACOG, so can you talk a little bit more towards guidelines please?
Valerie Palmieri: Sure, I would be happy to. So as you know guidelines is a process with a capital P. So, it does take time. We already have a physician statement from SGO as of 2013. So our goal is to actually get a more impactful physician statement from SGO with OVA2 and then leveraging that renewed physician statement with ACOG. Because as you know SGO are considered the gynecologic disease experts and they have a lot of influence on ACOG. We are also going to be submitting a submission to NCCN as well. So, we are initiating the process this year with our OVA2 product. And we are putting a dedicated team on this.
Unidentified Analyst: And I assume much different to prior by inference there wasn’t a dedicated team prior to the guidelines?
Valerie Palmieri: Dedicated team and also a team that has done it before, so I would say those are two differences.
Unidentified Analyst: Okay. Thank you.
Valerie Palmieri: You’re welcome.
Operator: [Operator Instructions] We will take our next question from John Grimley with TJW Capital.
John Grimley: Hey, guys. Congratulations on the progress.
Valerie Palmieri: Good morning. Thank you, John. Good morning.
John Grimley: I’m sorry, I just want to better understand the agreement with Quest you guys used to get $50 upfront and then a percentage of collection, how should we think about pricing at ASPiRA and then on test going forward, obviously the economic arrangement is better assuming you can collect for the tests you do, can you just kind of flush that out a little bit more so we understand kind of what the arrangement was and what it looks like going forward and then also tying pricing as well if you can?
Eric Schoen: Sure. The previous agreement with Quest we got, as you mentioned $50 fixed fee plus a third of their gross margin that’s going away. There will now be and agreed upon set price per test that we’ll get to recognize upfront. We have not disclosed nor will we disclose what that is at this time. But that you should think of that is, that’s the tailing off of the business because in the second half of 2015, we intend to get full licensure and all testing should be performed at ASPiRA Labs by the end of the year. So, what you really want to focus on is what are the economics of the ASPiRA Labs? So we will be billing and collecting those tests at the outset that’s going to be on the cash basis, but now we have the ability to recognize the full value from those tests. There is going to be denials and appeals at the outset. Quest had all the contracts with the payers, ASPiRA Labs did not that’s what we are working on presently. And as – over time we should see our average unit price increase as we get those contracts in place and make collections.
John Grimley: And should we assume OVA2 is going to have the higher price than OVA1?
Valerie Palmieri: Yes.
John Grimley: Okay.
Valerie Palmieri: It’s based on the health economics.
John Grimley: And is that the most important thing – I mean, obviously payers will drive what will be really important for you guys. And I know it takes a long time and you have been working at it a long time, it sounds like we have several health economic studies coming out this year, are those kind of the key catalysts to put in front of the payers to kind of to push them to move?
Valerie Palmieri: Yes, you are correct. That is absolutely the key catalysts.
John Grimley: And how much does women’s health, it just seems like the women’s health is a big focus on the overall healthcare community, are there payers that are more focused on women’s health to give you an upper hand potentially or is that am I wrong to make that assumption?
Valerie Palmieri: No, I think you are on to something. I think certain payers actually have women’s health divisions and see themselves as the women’s health organization. So, I do think that it’s not a common theme yet, but I do see it as something that is growing. I mean women control 85% of the healthcare decisions in the country, not only themselves but their families, so it’s a big push.
John Grimley: And then just last, Valerie you have been there for a short time, but clearly have been working hard and accomplished a lot, what is your kind of biggest negative surprise and what has you most excited about I mean in the next 12 months to 24 months, what are you are most excited about?
Valerie Palmieri: What I am most excited about and this is going to sound like a – something that is outside of our control, but it’s in our control is the timing. The fact that the Stand Up for Cancer acknowledged an ovarian dream team and you saw that even just yesterday the buzz with Angelina Jolie, I think the timing is right for ovarian cancer. Ovarian cancer has been seen as a rare disease and the mortality rate has not changed in the last 30 years. So, I think that having a technology that I consider has been coveted and almost kept in a box through this commercialization process in the past, we now have the opportunity to commercialize a very robust technology, manage the timing of the marketplace and make difference in terms of managing ovarian cancer and changing patients’ lives. So, that’s what keeps me up at night and that’s what we are driving towards.
John Grimley: Great, thanks a lot.
Valerie Palmieri: You are welcome.
Operator: Our next question comes from Adam Evertts with LifeSci Capital.
Valerie Palmieri: Good morning, Adam.
Adam Evertts: Good morning. Thanks for taking the question. Just want to get a better idea of the transition from selling OVA1 to OVA2 and by the time you launch OVA2, will you have established the necessary relationships with physicians and KOLs and simply swap out the product that you are offering. Essentially, how much will the process of selling OVA1 help you launch OVA2?
Valerie Palmieri: Absolutely. So, we are basically – as we transition from OVA1 to OVA2, we have an existing customer base, which is an ASPiRA customer base and the Quest customer base. We are also changing the way we are positioning that sale. As I mentioned earlier, we are selling through the entire patient journey. So, from a GYN oncologist, which is a gynecologic disease expert to the hospital systems or regional health networks to the OB/GYN, in the past, we were only selling direct to GYNs and now we really have a try it approach. And we are also supporting that process with also medical science liaisons. So, we are going on the existing base and we are bolstering the existing base with hitting it from several sides. So, I do believe the uptake and ramp with OVA2 will be significant.
Adam Evertts: Great, thank you.
Valerie Palmieri: You are welcome.
Operator: This concludes our question-and-answer session. I would now like to turn the call back over to Ms. Palmieri. Please proceed.
Valerie Palmieri: Thank you, Derrick. To conclude, we have a planned and methodical mission to change the course of gynecologic health in the U.S. and worldwide in time. In terms of the strategy, we have three primary objectives to meet in 2015. First and foremost is the successful implementation of our new commercial relationship with Quest. Second is the performance driven deployment of our sales care pathway team and our new Challenger model to drive sales ramp penetration with our current as well as new customers. Third is compelling these health economics publications to drive value-based pricing. As we expand our market, we will be building upon our existing bio-analytic platform solutions to change not only the way ovarian cancer is managed, but moving near-term into pelvic mass care pathways, while setting our sights on bio-analytic management of the larger disease paradigm, which impacts one out of every five women. We appreciate you attending our call and your continued support. Thank you.
Operator: Again, I would like to remind everyone that this call will be available for replay through April 8, 2015 starting later this evening, via the link provided in today’s press release as well as available in the Investors section of the company’s website. Thank you, ladies and gentlemen for joining us today for our presentation. You may now disconnect.